Operator: Ladies and gentlemen, thank you for standing by. My name is Brandy, and I am your event operator today. I would like to welcome everyone to today's conference, Public Service Enterprise Group Second Quarter 2015 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session for members of the financial community. As a reminder, this conference is being recorded today, Friday, July 31, 2015, and will be available for telephone replay beginning at 1 PM Eastern today until 11:30 PM Eastern on August 7, 2015. It will also be available as an audio webcast on PSEG's corporate website at www.pseg.com. I would now like to turn the conference over to Kathleen Lally. Please go ahead.
Kathleen A. Lally - Vice President-Investor Relations: Thank you, Brandy. Good morning. Thank you for participating in our earnings call this morning. As you are all aware, we released second quarter 2015 earnings statements earlier today. The release and attachments as mentioned are posted on our website at www.pseg.com, under the Investors section. We also have posted a series of slides that detail operating results by company for the quarter and the first half of the year. Our 10-Q for the period ended June 30, 2015, is expected to be filed shortly. I won't go through the full disclaimer statement or the comments we have on the difference between operating, earnings, and GAAP results, however, as you know the earnings release and other matters that we will discuss in today's call contain forward-looking statements and estimates that are subject to various risks and uncertainties. Although we may elect to update forward-looking statements from time-to-time, we specifically disclaim any obligation to do so even if our estimate changes unless, of course, we are required to do so. Our release contains adjusted non-GAAP operating earnings. Please refer to today's 8-K or other filings for a discussion of the factors that may cause results to differ from management's projections, forecasts and expectations and for a reconciliation of operating earnings to GAAP results. I'm now going to like to turn the call over to Ralph Izzo, Chairman, President, and Chief Executive Officer of Public Service Enterprise Group. And joining Ralph on the call is Caroline Dorsa, Executive Vice President and Chief Financial Officer. At the conclusion of their remarks, there will be time for your questions.
Ralph Izzo - Chairman, President & Chief Executive Officer: Thank you, Kathleen. And thank you, everyone, for joining us today. Earlier this morning, we reported operating earnings for the second quarter of 2015 of $0.57 per share, a 16% improvement over the $0.49 per share earned in 2014 second quarter. The results for the quarter bring operating earnings for the first half of 2015 to $1.61 per share, a 7% increase over operating earnings of $1.50 per share earned in 2014's first half. Slides 4 and 5 contain the detail on the results for the quarter in the first half. Our business is performing well and meeting the challenges of today's low energy price environment. The results for the quarter and first half of the year demonstrate the importance of strong operations in providing our customers with safe, reliable, low cost energy. PSE&G invested $1.3 billion during the first half of the year as part of its planned capital program for 2015 of $2.6 billion. This included upgrades to the electric and gas distribution and transmission system. PSE&G's focus on improving the resiliency of the grid and increasing operational efficiency has also translated into strong performance in a number of the areas of customer satisfaction including price, billing and payment, corporate citizenship and field service. PSE&G was recently assigned a share of the transmission upgrade work at Artificial Island. PJM's decision will increase PSE&G's transmission-related capital spending by $100 million to $130 million over the next four years. This project will add to PSE&G's robust pipeline of projects that will drive high single-digit growth in PSE&G's earnings over the three-year period ending in 2017. The New Jersey Board of Public Utilities has begun proceedings related to PSE&G's proposed $1.6 billion Gas System Modernization Program. The investment would provide for a continuation of the work underway to replace 800 miles of cast iron and bare steel pipe over five years to enhance reliability and reduce the potential for harmful emissions of methane gas. Approval would also provide a direct boost to New Jersey's economy. We continue to believe that this is the right time to move forward with this work, given the sizeable savings customers continue to realize from low gas prices. PSEG Power's earnings demonstrate the strength of its asset mix. Recent economic investments have increased the capacity of existing nuclear and fossil units and have improved the fleet's operating efficiency. The completion of upgrade work at the gas-fired Bergen combined cycle unit yielded an increase in capacity of 31 megawatts, just as the completion of the first phase of the Peach Bottom upgrade which achieved 100% output at the new rating in May provided an additional 65 megawatts per Power's share of this nuclear unit. In addition, Power recently announced plans to construct and operate a new 755-megawatt combined cycle unit at the Keys Energy Center in Maryland at a cost of $825 million to $875 million. The investment is in keeping with Power's overall strategy of investing in efficient capacity in its core markets. All three investments will enhance Power's ability to perform on the PJM's recently approved capacity performance program. Capacity performance, with its emphasis on performance, is an example of how customer demands for reliability are increasing. The size of PSEG Power's fleet, the diversity of the fleet's fuel mix and its dispatch flexibility should support performance under the new capacity standards. The real impact of the changes in the RPM capacity auction should result over time as the market recognized the need for increased investment to maintain system reliability, particularly in light of anomalous weather patterns. We are focused on executing our investment strategies and expanding our infrastructure in a disciplined manner, a manner that supports the goals of customers and shareholders alike. PSE&G's investment program is expected to yield double-digit growth in rate base through 2019, as the earnings contribution from our regulated business should continue to exceed 50% of our consolidated earnings. PSEG Power's investment program is expected to enhance the fleet's efficiency and reliability as we continue to look for opportunities to expand that fleet. The potential investment in Artificial Island, actually the recently approved investment in Artificial Island, the announced acquisition of the Keys Energy Center and the gas system modernization program, if approved, would expand our previously announced capital program for 2015 through 2019 by 15% to 20%, or $2.2 billion. Based on the strength of our results for the first half of the year and the outlook for the remainder of the year, we are updating our earnings guidance for 2015. We have narrowed our range for guidance to $2.80 to $2.95 per share from its original $2.75 to $2.95 per share. Our financial position remains strong. The growth in capital spending can be financed without the need to issue equity. We intend to utilize our financial strength to pursue investments that enhance operating efficiency, support our market position, and seek to improve on the high levels of reliability expected by our customers as we increase shareholder value. With that, I'll turn the call over to Caroline, who will discuss our financials in greater detail.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Thank you, Ralph, and thank you everyone for joining us today. As Ralph said, PSEG reported operating earnings for the second quarter of 2015 of $0.57 per share versus operating earnings of $0.49 per share in last year's second quarter. We provide you with a reconciliation of operating earnings to income from continuing operations and net income for the quarter on slide 4. And we've also provided you with a waterfall chart on slide 10 that takes you through the net changes in quarter-over-quarter operating earnings by major business and a similar chart on slide 12 provides you with changes in operating earnings by each business on a year-to-date basis. So, now I'll review each company in a bit more detail, starting with PSE&G. PSE&G reported operating earnings for the second quarter of 2015 of $0.33 per share, compared with $0.30 per share for 2014's second quarter, a 10% improvement. Results for the quarter are shown on slide 14. PSE&G's operating results for the second quarter continued to benefit from the expansion of its capital program and the impact of warmer-than-normal weather on demand. Returns from PSE&G's expanded investment in transmission added $0.04 per share to earnings in the quarter. An increase in revenue at the start of the year under its transmission formula rate provides PSE&G the opportunity to continue to earn its allowed return on its transmission investments. Electric demand benefited from the more favorable weather conditions during the quarter, that is, the weather was hotter than normal and warmer than last year, as well as the recovery of costs associated with PSE&G's capital infrastructure programs. Together, these improved earnings comparisons in the quarter by a $0.01 per share. Gas deliveries continued to grow in response to sustained low prices. The growth in gas deliveries also increased earnings comparisons by $0.01 per share. The improvement in earnings associated with this growth and revenue was partially offset by an increase in pension expense as well as higher storm-related expenses, with those increases totaling an impact of $0.02 per share. An increase in taxes and other items reduced quarter-over-quarter earnings by $0.01 per share. Economic indicators in the service territories such as employment and housing are showing signs of improvement. Modest growth in electric demand is reflective of the improvement in economic conditions. On a weather-normalized basis, electric sales grew by 0.2% for the quarter and about the same year-to-date. Growth in demand by residential and commercial customers was partially offset by a decline in demand from industrial customers, but weather-normalized deliveries of gas grew 2.7% during the first half of the year in response to sustained low prices, something you'll recall we saw last year as well. PSE&G, as part of its annual BGSS filing with the New Jersey BPU, requested a further reduction of $70 million in annual revenues, reflecting its lower cost of gas supply. When placed into effect, the BGSS rate will be reduced to $0.40 per therm from $0.45 per therm effective October 1 of this year. And including this reduction, the typical residential gas customer has experienced a reduction in his or her bill of $792, or 47%, since January of 2009. PSE&G has maintained a steady level of capital expenditures, investing $1.3 billion in the first half of the year as part of its annual planned capital program of $2.6 billion in upgrades to the electric and gas distribution and transmission systems. The capital investment associated with PSE&G's share of recommended upgrades to the transmission system at Artificial Island will increase investment in the transmission by $100 million to $130 million during the 2016 to 2019 timeframe. So, we are updating our forecast for PSE&G's operating earnings for the year from $735 million to $775 million, to $760 million to $775 million. Given year-to-date results, operating earnings for the full year will be influenced by the summer weather, and of course the recovery of costs associated with higher levels of capital spending. Now, let's turn to Power. PSEG Power reported operating earnings of $0.22 per share for the second quarter of 2015, and adjusted EBITDA of $301 million, compared with operating earnings of $0.17 per share and adjusted EBITDA of $276 million for the second quarter of 2014. Power's operating results for the second quarter benefited from improved operations at its Nuclear and Fossil generating facilities, as well as higher prices on its hedged output and a decline in the cost of its gas supply. The benefit to earnings from the improvement in operations more than offset the impact on earnings from an expected decline in capacity revenue and the lower wholesale market prices for energy. Higher average prices on energy hedges, coupled with a reduction in the cost of supply, more than offset the impact on earnings of lower wholesale market prices for energy. These items combined to increase quarter-over-quarter earnings comparisons by $0.10 per share. In addition, a 10% improvement in the output over the prior year increased quarterly earnings comparisons by $0.02 per share. So this improvement in margin was partially offset by the expected decline in PJM capacity revenues, which reduced Power's quarter-over-quarter earnings by $0.08 per share. The reduction in capacity revenues reflects the impact, both of a lower average capacity price and the retirement of capacity that we've talked about before, the capacity that's no longer compliant with environmental regulations. Higher levels of O&M and depreciation expense were offset by a decline in taxes of $0.03 per share, and other items, to net improve quarter-over-quarter earnings by $0.01 per share. The lower effective tax rate in the quarter of approximately 23% versus last year's 31% was anticipated, and we continue to estimate that the tax rate for the full year will approximate 38%, which is about the same rate as you saw in 2014. The increase in adjusted EBITDA for the quarter is in line with the changes in earnings per share that I just went through on a quarter-over-quarter basis. The average price for capacity declined in the quarter to approximately $168 per megawatt-day from $217 per megawatt-day. In addition, the amount of capacity that cleared the PJM capacity auction for the 2015-2016 capacity year, which we've discussed over the past few years, was reduced by about 1,800 megawatts to 8,800 megawatts. And this reflects the retirement in May of this year of the HEDD peaking capacity that didn't meet New Jersey's nitrous oxide emissions standards. As we move through the second half of 2015, the average price received on PJM capacity will remain stable, relative to the average price received during the second half of 2014 at about $168 per megawatt-day. However, we should continue to expect on a year-over-year basis a decline in capacity revenues during the second half of the year specifically related to that retirement of capacity under HEDD. The fuel diversity and flexibility of Power's fleet of generating assets was demonstrated once again in the quarter. Our output increased 10% over a year-ago levels to 13.2 terawatt-hours. The nuclear fleet operated at an average capacity factor of 86%, producing 7.1 terawatt-hours of output, or about 54% of our generation. And this level of output represents a 9% improvement from year-ago levels. The performance on the nuclear fleet reflects the absence of some major repairs to Salem 2 in 2014, which led this year's fewer outage-related days in the second quarter. Production from the combined cycle gas fleet increased 26% this year to 4.6 terawatt-hours of generation or 34% of our total generation, as the fleet's capacity factor improved to 61% from 49% in the year-ago quarter. Linden's availability improved versus 2014 as the result of upgrade and maintenance work that was occurring in the year-ago quarter. Dispatch of the combined cycle fleet was also supported by the availability of low-cost gas. Dispatch of the coal fleet, however, was hurt by a decline in the price of gas and lower wholesale energy prices. Output from the coal fleet declined 1.3 terawatt-hours or 10% of generation during the quarter. Wholesale market energy prices have been affected by a decline in the price of gas and anomalies in the dispatch of generation associated with the volatility in pricing. Strong production of low-cost gas from Marcellus station and the lack of sufficient takeaway capacity, not unexpectedly, has resulted in a lower price for gas. The impact on power prices from the lower cost of gas has been further compounded this summer by repair work on electric transmission lines in the Maryland-D.C. area and differentials on load, given warmer-than-normal weather in Southern PJM versus the more normal demand experienced in the northern part of PJM. That inability to dispatch energy to meet demand as a result of the transmission constraints hurt the wholesale market price for power in our region. This situation is alleviated during periods of more normal weather-related demand in the areas served by PSEG Power. So the dynamics affecting the power markets were not wholly unexpected, given that lack of gas transmission takeaway capacity in the Marcellus basin and the work underway to alleviate the constraints on electric transmission to the south of us. Power's combined cycle fleet continue to benefit from its access to this low-cost gas supply during the second quarter. And since power prices held up and we continue to access lower cost gas, the combined cycle fleet experienced an expansion of spark spreads and Power's fleet will continue to benefit from low gas prices and a somewhat open gas position. As we look to the full year, the improvement in availability of Power's gas-fired and nuclear fleet combined with incremental operating capacity at the Peach Bottom 2 nuclear plant and the gas-fired Bergen Station should allow Power's fleet to produce energy at the upper end of our forecasted output for the year of 55 terawatt-hours to 57 terawatt-hours. This level of output represents a 1% to 5% increase over 2014's output of 54.2 terawatt-hours. Approximately 70% to 75% of anticipated production for the second half of the year is hedged at an average price of $53 per megawatt hour. The average price on Power's energy hedges remains the same, approximately $4 per megawatt hour higher than the average price received on energy hedged during the second half of 2014. For 2016 and 2017, Power's forecast output will remain stable at approximately 55 terawatt-hours to 57 terawatt-hours. Of this, Power has hedged 55% to 60% of 2016's forecasted generation at an average price of $51 per megawatt-hour and about 30% to 35% of 2017's forecasted level of generation is hedged at an average price of $50 per megawatt-hour. As Ralph mentioned, Power has acquired the rights to develop the 755-megawatt gas-fired combined cycle Keys Energy Center in Maryland. The addition of Keys, which represents an investment of approximately $825 million to $875 million, is targeted to enter commercial service in 2018. The plant's location, we believe, will complement Power's fleet in the core market and add to a fleet capable of meeting PJM's new capacity performance standards. The forecasted range of Power's operating earnings for 2015, even with lower wholesale energy prices, remains $620 million to $680 million as guidance, and for adjusted EBITDA, it remains unchanged as well, at $1.545 billion to $1.645 billion. Results for the remainder of the year will be influenced by higher average hedge prices, that declining capacity revenue that I mentioned, and wholesale energy market prices. Just a quick note on Enterprise and Other. Operating earnings for PSEG Energy Holdings and Enterprise in the second quarter of 2015 were $12 million, or $0.02 per share, versus operating earnings of $7 million, or a rounded $0.02 per share, for the second quarter of 2014. The improvement in the operating income for the second quarter reflects higher earnings from PSEG Long Island, lower O&M expense, and higher interest income at the parent. And we continue to forecast full-year operating earnings for PSEG Enterprise/Other of about $40 million to $45 million. PSEG closed the quarter ended June 30, 2015 with $597 million of cash on its balance sheet, with debt at the end of the quarter representing 41.9% of consolidated capital. During the quarter, PSE&G issued $350 million of 10-year secured medium term notes at an interest rate of 3% and $250 million of 30-year secured medium-term notes at an interest rate of 4.05%, and we also redeemed $300 million of maturing medium-term notes, yielding 2.7%. As Ralph mentioned, we've updated our forecasted operating earnings for the full year to $2.80 to $2.95 per share, given the strong operating results at both businesses in the first half of the year. Estimates of PSEG Power's adjusted EBITDA remain unchanged at $1.545 billion to $1.645 billion. Finally, just on a personal note, as you know, I announced a week ago my plans to retire from PSEG during the fourth quarter. I have really enjoyed working with all of you and, as I move on, I know that PSEG has an outstanding management team, led by Ralph Izzo, with a strong balance sheet and lots of opportunities to deploy it in the future, and possesses a really solid foundation for further growth. With that, we're now ready for your questions and I'll turn it back to you, Brandy.
Operator: Your first question is from Daniel Eggers with Credit Suisse. Please proceed with your question.
Dan L. Eggers - Credit Suisse Securities (USA) LLC (Broker): Hey, good morning, guys. Can we just talk a little bit about the Keys plant and just your thought process on the capital allocation on that front, given the fact that you've looked at a variety of other brownfield type projects in generation that haven't passed muster from your cost of capital perspective?
Ralph Izzo - Chairman, President & Chief Executive Officer: Yeah, Dan. So I think in general, we're somewhat cautious about injecting new supply into a market where demand isn't growing much. So most of the investments you've seen us make have been kind of upgrades to existing units, and we've talked a lot about (26:54) and replacement of existing units. This one is a little bit unique for us, in that A, it's not an existing asset, and B, it is a new development project. I think what makes this one a good fit for us is its location, it's in Southwestern MAAC, where we've seen some seasonal basis advantages. Number two, I think we're ahead of the market in terms of the future delivery of gas to that region, which will put a 6,400 heat rate unit in a very, very strong competitive position. And number three, this one went beyond the usual forecasting of forward price risk, and included an element of construction risk that we believe ourselves particularly well-suited to manage, given the project work we've done, both in power and in the utility, and how well that has all worked out. So for a combination of reasons, we were able to see clear to some value creation here that was different from other opportunities, where I can't believe people outbid us. So, I think what you hear me saying is that we remain cautious on injecting copious amounts of new supply in a market that's not growing, but this was a fairly special situation that we thought fit our portfolio rather nicely.
Dan L. Eggers - Credit Suisse Securities (USA) LLC (Broker): And given kind of your history of being pretty conservative on using capital, is your view effectively that the energy value of the asset is going to make sense for it, since you don't have the lock on capacity that you would have had if you had done Bridgeport or something else?
Ralph Izzo - Chairman, President & Chief Executive Officer: Yeah, that's right. I mean we did talk in the past about how we – we were attracted to the seven-year lock on capacity in New England. And this one obviously is more about sparks and energy margins than it is about a one-year price on capacity. But it will be clearly a CP-eligible unit.
Dan L. Eggers - Credit Suisse Securities (USA) LLC (Broker): Okay. And I guess Caroline, what – you've talked in the past about how much balance sheet capacity you guys thought you had to redeploy. How much you think you have left with the Keys investment and because it is more merchant, does that lower the amount more meaningfully than just the dollars going into the project?
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: No, Dan, so we still have plenty of capacity when I think about – remember the slide we showed in March and we know we've talked about before, we add capacity and multiple billions of dollars both at POWER and at parent, parent mostly for regulated. When I look at where we landed at the end of the second quarter, actually similar to what we've talked about before, Power ends with – does it cap at 31%, FFO to debt number is well above our floor level. So, we didn't relax any standards here in doing the analysis for Keys. We will be able to finance that on Power's balance sheet and that doesn't use it up, right? So, when we talk about those balance sheet capacities, remember I've mentioned before that that's the most conservative way to look at them because we look at them assuming they don't start contributing any FFO back and when this goes in service, it certainly will. So, when we looked that Keys, we didn't look at it from the perspective of well, if we do Keys, we can't do anything else. We looked at it from the perspective of Keys is a really good project and by no means does it use up all of our balance sheet capacity. So, we can still continue to look at new opportunities for Power as well. So, I feel really comfortable that it's one balance sheet deployment, but it's not the only one we'll be able to do in either businesses.
Dan L. Eggers - Credit Suisse Securities (USA) LLC (Broker): So, this wouldn't preclude the HEDD upgrades or something else then?
Ralph Izzo - Chairman, President & Chief Executive Officer: No.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: No, no, not at all. We'll not preclude other things that we may be considering, not at all.
Dan L. Eggers - Credit Suisse Securities (USA) LLC (Broker): Okay. Well, Caroline, I trust we'll have you on the third quarter earnings call, so I won't say goodbye yet. And thank you guys.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Thanks, Dan. Next question.
Operator: The next question comes from Julien Dumoulin-Smith with UBS. Please go ahead with your question.
Julien Dumoulin-Smith - UBS Securities LLC: Hi, good morning.
Ralph Izzo - Chairman, President & Chief Executive Officer: Good morning, Julien.
Julien Dumoulin-Smith - UBS Securities LLC: So, perhaps to follow-up on investment opportunities here. I'd be curious to – obviously we're moving forward or PJM is moving forward with Artificial Island at this point. I'd be curious to get your prospective on the future of FERC 1000 or FERC 1000-like investments in PJM. And specifically within that your views on the use of cost caps and just other mechanisms to be more "competitive," I suppose to what extent do you anticipate yourself and others continue to leverage those kinds of mechanisms to win as we saw with the Artificial Island example, and to what extent do you see that as impeding your ability or enhancing your ability to win, et cetera.
Ralph Izzo - Chairman, President & Chief Executive Officer: So, it's interesting that I believe that PJM published an announcement that said that the identification of this project preceded the creation of Order 1000. So PJM did not feel obligated to achieve the strict terms of the tariff on Order 1000, which is a point that may be we would beg to differ on. Look, Julien, there is way to make this process look pretty. This was a painful process and I would like to chalk it up to the growing pains associated with Order 1000. My concern, and I've expressed this to FERC and to PJM, is that we may be heading for a ubiquitous dumbing down of the transmission system as opposed to robust solutions that have advantages over the long term. The cheapest solution in the short-term may not be the cheapest solutions of long term and I don't want to do get into a full-fledged debate over how you make comparisons across two projects. I still believe, based on everything that our engineering team has told us, that not only did we have a more robust solution, but we had a lower cost solution. So this is going to be challenging. I think efficient markets work when you have good information available to both suppliers and buyers and these are technically detailed, painful reviews done by a handful of assessors on the basis of a fairly robust set of bidders. It doesn't kind of lend itself to the transparency you see at the NYMEX on what's happening in gas markets. So I don't mean to give a speech, but it's showing some real challenges in terms of me having confidence that over the long term Order 1000 will yield a strong transmission system that won't be constantly second-guessed through a challenged – the quarters or more importantly over the long-term in the field as we head towards the least-cost solutions as opposed to the short-term least-cost solution.
Julien Dumoulin-Smith - UBS Securities LLC: Got it. And the complement – to complement that last question a little bit, PJM is talking about reducing their load forecast this cycle, given some adjustments for efficiency and solar et cetera. I'd be curious, does that impact your – A, your current spending plans, with B, your prospective plans when you are thinking about transmission, and obviously you guys are on the both sides of power and the wires business. What do you – how does that change your business at all, if you can elaborate?
Ralph Izzo - Chairman, President & Chief Executive Officer: Yes. So I think that PJM is still reviewing its re-forecasted load growth. And of course load growth is an important consideration in how one designs your delivery system. But don't underestimate this significant role played by the location of load and the location of supply in having to design the transmission system. I would contend, although I couldn't prove it to you in this call, that the reason why we've had such a strong need for transmission deployment is the fact that we no longer have an integrated system where utility planners go from generation all the way to the meter and PJM has had to respond to changes in supply, both in terms of unexpected retirements and unexpected injection of new supply. And that results in the need for an even more robust transmission system and one that you can plan from generation to user. Now, for Power, we had nearly all of this forecast in our fundamental model – or fundamental model already. So when we looked at something like Keys and when we looked at whatever else we might be bidding into RPM, we do scenario analysis that includes diminished demand as well as more robust growth. But well, one way of saying it, it's not a single variable model, it's not just what's the demand, it's – where is the load, where is the supply and what's happening to the infrastructure that connects all the above.
Julien Dumoulin-Smith - UBS Securities LLC: Excellent. Well, thank you.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Thanks, Julien. Next question.
Operator: Your next question is from Travis Miller with Morningstar Inc. Please proceed with your question.
Travis Miller - Morningstar Research: Good morning, thank you.
Ralph Izzo - Chairman, President & Chief Executive Officer: Hi, Travis.
Travis Miller - Morningstar Research: Ralph, just a follow-up on that, the transmission discussion. When you think about the investments you're making, what's on the table, how close do those investments get us to kind of next generation grid, a grid where you can have distributable generation, smart type of grid? Is that kind of what you're talking about there, in terms of robustness and where we need to get to relative to the future?
Ralph Izzo - Chairman, President & Chief Executive Officer: So I think it does get us a long way there Travis, but I think of it more as building a set of highways, so that no matter what happens on one highway you could switch over to another one and not get stuck in a traffic jam. Other people though I think talk about the future grid as being a more flexible grid so that you don't have to build big highways and you could just direct traffic flows along the back roads intelligently so that nothing gets clogged. And that's probably not the best analogy. But I think the Internet of Things is what people speak about in terms of the ability to move power more flexibly. I'm not a big believer in that being an eventual outcome because of the connectivity that you need at the last mile, so to speak. And I'm more of a believer in the types of things that PJM is advocating, which is – look, the backhaul has to be robust, so that people can get on and off, people in the form of power plants can get on and off that backhaul system.
Travis Miller - Morningstar Research: Okay.
Ralph Izzo - Chairman, President & Chief Executive Officer: It's a central station dispatch model on a robust high voltage system that I think is ultimately one that will be economically more efficient.
Travis Miller - Morningstar Research: Sure. Okay. And then, more specifically on PSEG Power in the quarter, that re-contracting lower cost to serve, how one-time type of stuff is that? I'm guessing a lot of that was spark spread versus the BGS but the re-contracting part, what are you seeing on that part?
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Sure, Travis. This is Caroline. So yes, remember that when we talk about re-contracting as well as lower cost to serve, we give you that hedging data, right, so we give you all the details on our hedging data. And as I just said, we've moved up our hedges a little bit and the prices are basically the same as where we are. So the hedges prove to be very valuable on a year-over-year basis. I remember last year at about this time we talked about the fact that we had taken advantage of some better pricing last year to put on some incremental hedges. Now hedging doesn't last forever, but when we see those opportunities we've layered on hedges as to beneficial prices and so re-contracting, that's kind of what that benefit is about. The lower cost to serve, obviously there is lower cost to serve in terms of the wholesale market prices, but also as I mentioned in my remarks, $0.02 of that is our Leidy gas access. So, having that access to Leidy gas after the customers and PSE&G have the first call in that access, that contributed $0.02 of share in this quarter and you remember that's contributed pennies each quarters of the key quarters in the summer particularly and for each of the last two years. Now that benefit is one that we've never said we expect to continue in perpetuity. But if you look at the delta of Leidy gas cost relative to Henry Hub, you'll still see benefit. And because we have that access, that's what gives us part of our lower cost to serve, is that Leidy access. And as I mentioned, we have higher spark spreads. We've talked about this last year in the summer, as well as starting in 2013 summer, that our spark spreads for our access to that low cost gas tended to be about 30% or more higher than the sparks seen in the overall market. So, some of the things are a hedge position, some things are a little more structural, but together, we think they give us a nice position, with a combined cycle fleet, obviously, that operates very well.
Travis Miller - Morningstar Research: Okay. Got it. Thanks so much, and congratulations on the work that you've done while you're at PG – PSE&G.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Thank you, Travis. Next question?
Operator: The next question is from Jonathan Arnold with Deutsche Bank. Please proceed with your question.
Jonathan P. Arnold - Deutsche Bank Securities, Inc.: Yes, good morning, and my congratulations to Caroline. And thank you for all your help.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Thank you.
Jonathan P. Arnold - Deutsche Bank Securities, Inc.: But just firstly, could we get – maybe get an update on the gas main replacement program case? If I'm not wrong, the first round of settlement talks, which have happened in July; didn't seem there was a whole lot of opposition in the hearings. So, any updated thoughts on when we might see that come to a head?
Ralph Izzo - Chairman, President & Chief Executive Officer: Yes, Jonathan. Thanks for your question. As you know, settlement discussions are confidential, so we can't give you a lot of detail. It's encouraging, though, that we've had them. And our hope really is that by year-end, or at the very latest early in 2016, we would have this resolved. As you correctly noted, it's something that the state recognizes needs to be done. The interventions in the case are not many, nor has there been any surprises. And I think lowering the supply tariff from $0.45 to $0.40 in October just once again points out the wisdom of doing this now. So, as I mentioned – as we've done visits with folks, I think that the debate and the arm-wrestling will be around the length of the program and the size, but we went out of our way to file conditions that were identical to what was approved at Energy Strong, and that was approved only 14 months ago. Interest rates are exactly where they were then, and return expectations are exactly where they were then. So right now, my number one nemesis is summer vacation schedules. So we'll – I think we have a couple more settlement dates that are on the calendar for the fall, and we're well on our way to spending the $250 million for gas that was in Energy Strong that goes through early 2016. So, we wouldn't be able – even if we had an agreement today, we wouldn't be able to add a bunch of new work in the next couple of weeks anyway.
Jonathan P. Arnold - Deutsche Bank Securities, Inc.: Is there – do you see a path, a route that – where it might wrap up before these fall dates, or is that unlikely?
Ralph Izzo - Chairman, President & Chief Executive Officer: No, that's possible, I wouldn't want to bet anything that I hold near and dear to my heart on that. What we really want to do is make sure we get this done well in advance of running out of the Energy Strong money, so we don't have to demobilize the contractor workforce, so we don't put pencils down on the engineering. So we just have a continuous flow and so, if we got it done in the fall, that would certainly assure that. If we get it done by the end of the year, we should be able to do that. If it gets done early in 2016, then we create a bunch of inefficiencies that the customers end up paying for, which we'd rather avoid.
Jonathan P. Arnold - Deutsche Bank Securities, Inc.: Okay. Great. And then, one other topic, just strategically, you've always been of the view that the retail business is not somewhere you want to be. But we did notice one of your merchant power peers, who have been of a similar view, is evolving somewhat in that direction this quarter, and citing poor liquidity in the forecast. I was just wondering whether you're seeing similar challenges in terms of hedging, and whether there might be any change of thought on your part on the same?
Ralph Izzo - Chairman, President & Chief Executive Officer: So, I don't want to send off shockwaves in a third quarter call, I'm not a big fan of retail, but my short answer to your question is a qualified yes. I do think that, given challenges in hedging and matching those hedges with asset locations and some of the basis challenges one has seen, (44:34) the effectiveness of hedges has to be taken into consideration, in terms of whether or not some consideration has to be given to that. So, I don't know the details behind what Calpine did, but I can certainly understand why they would think of that, given the diminishing liquidity and the effectiveness of hedges in terms of where the consumption is and where the supply is, and where one hedges relative to those two. So – but again, please don't interpret this to expect any announcement in the next few days that PSEG is launching into the retail business, but it is something we are looking at now.
Jonathan P. Arnold - Deutsche Bank Securities, Inc.: That you're at least exploring some options on that front there.
Ralph Izzo - Chairman, President & Chief Executive Officer: That's right.
Jonathan P. Arnold - Deutsche Bank Securities, Inc.: Okay.
Ralph Izzo - Chairman, President & Chief Executive Officer: And mostly – absolutely from a defensive posture, about how do we maximize the effectiveness of our Power business, as opposed to retail being a new growth strategy or anything of that sort.
Jonathan P. Arnold - Deutsche Bank Securities, Inc.: Okay, that makes it. Thank you.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Next question?
Operator: The next question is from Michael Lapides with Goldman Sachs.
Michael J. Lapides - Goldman Sachs & Co.: Hey, guys. Congrats, and Caroline, congrats on your announcement.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Thank you, Michael.
Michael J. Lapides - Goldman Sachs & Co.: One question on CP. Everybody – most people have been pretty bullish in terms of what the impact of CP would be. From a contrarian standpoint, what's the bear case?
Ralph Izzo - Chairman, President & Chief Executive Officer: I have no idea. I'm sorry, Michael. Caroline and I are looking at each other and like, no, you take it. No, I don't – so well, I guess I will default to our usual we don't forecast bullish or bearish prices. I guess the good news is today is July 31 and in 21 days we'll know the outcome. But I don't mean to be flip, I mean the bear case would be massive injection of new supply with an economy growing at 2.3%, demand growing at fractions of that. You'd have to be pretty undisciplined to inject a whole bunch of new supply but I guess that would be the bear case (46:49).
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Maybe there is a bear case if you are just a single asset, but we're a fleet, right?
Ralph Izzo - Chairman, President & Chief Executive Officer: Right, right.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: So it feels like this is a good product from our perspective.
Ralph Izzo - Chairman, President & Chief Executive Officer: Yeah, that would be more of a bear outcome in terms of penalties that you may incur...
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Right, right.
Ralph Izzo - Chairman, President & Chief Executive Officer: If you didn't perform, right.
Michael J. Lapides - Goldman Sachs & Co.: How do you think about – I means lots of people talk about the potential higher bid price because lots of assets – or portfolios have kept kind of "embed" the risk of having penalties into their bid price. How about the folks like you guys who have really well performing assets? How do you think about what the potential for rewards are? If you're on the other side, I mean this is going to be a balancing or settling type market just like New England. How do you think about preparing for what potential rewards could be, where you're not as focused on the penalty side, but maybe you're also focused on the – hey what's my upside, if I'm actually the better performing units in the market and able to deliver more megawatts than what I cleared.
Ralph Izzo - Chairman, President & Chief Executive Officer: So that happens in two ways, Michael. We do think about that a lot and think about what it means for us. One is I set a UCAP of 90% of what my ICAP is and I get the other 10% out of that particular unit, which successfully clear the auction. That's candidly an asymmetric risk-reward relationship right, because the downside is the 90% that's strung out for you, upside is the 10% of overall performance. But for somebody like us the more significant upside is in the units that don't clear and their availability to backstop in the event that somebody else underperforms within the LDA. So we never clear 100% of our units. And when we look at our nuclear plants, they have a very low forced outage rate, our combined cycle are slightly higher but still quite low and our LM6000s – our peaking units are also very low forced outage. And so we'll make some incremental investments in some of the units that don't have the same type of operating profile, but I think really for us we have not only that sort of even better performance than in the past, but probably more important is the fact that we have a bunch of units that don't clear the auction. Some of them with high forced outage rates, but will be great insurance policies going forward.
Michael J. Lapides - Goldman Sachs & Co.: Got it. Thank you, Ralph and Caroline, much appreciated.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Thank you. Next question?
Operator: Your next question is from Ashar Khan with Visium (49:32). Please proceed with your question.
Unknown Speaker: I'm sorry, my questions have been answered. Thank you.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Thank you, Ashar. (49:43) Next question?
Operator: Mr. Izzo, Ms. Dorsa, there are no further questions at this time. Please continue with your presentation or closing remarks.
Ralph Izzo - Chairman, President & Chief Executive Officer: Okay. Thank you, Brandy. So, we tried to do a count – I think this is Caroline's 26th call. I've teamed up with her on 25, there was an August vacation I couldn't change if I remember correctly. She is going to tire of hearing me say these things, I'm not going to tire of saying these things and I'm going to do them for every one of the different audiences that we somehow manage to find ourselves in front of. I know you've all met Caroline and have been impressed by what she has done for us as a company. I can only tell you that no matter how high your opinion is of her, you probably only know a fraction of what she's done for us as a company and what she's done for me as the leader of this company. Her presentation – preparation for these calls is just the tip of the iceberg. Her discipline, day in and day out, her knowledge of the business, her knowledge of financial markets, and while all of that isn't superstar category, all of that pales in comparison to just what a pleasure she is to work with. (50:58) from the times when we've travelled around that people think that we actually like each other, but we really do like each other and I can remember the earliest days of those visits and in these calls, she would say, Ralph, you focus on the strategic issues, I'll answer the factual questions which was her delightfully professional way of saying, Ralph, you'll get it wrong (51:19). So Caroline, I can't say thank you enough for our shareholders, for our investors and for me and I know I have many opportunities to repeat that in front of employees, in front of customers and various other folks.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Thank you.
Ralph Izzo - Chairman, President & Chief Executive Officer: So, thank you and thank you for all you've done. With that, we'll wrap up the call. Hope for a hot, sticky humid weather for the balance of this summer, and we'll see you, I'm sure, at various conferences. Thank you all for joining us today.
Kathleen A. Lally - Vice President-Investor Relations: Thank you, Brandy.
Operator: Ladies and gentlemen, that does conclude your conference call for today. You may now disconnect and thank you for your participation.